Operator: Good morning. My name is Sylvie, and I will be your conference facilitator today. Welcome to Frontera Energy’s First Quarter 2021 Operating and Financial Results Conference Call. All lines are currently on mute to prevent any background noise. This call is schedule for 60 minutes. I would like to remind you that this conference call is being recorded today and is also available through audio webcast on the Company’s website. After the speakers’ remarks, there will be a question-and-answer session. Analysts and investors are reminded that any additional questions can be directed to the company at ir@fronteraenergy.ca. This call contains forward-looking statements, which reflect the current expectations or beliefs of the company based on information currently available. Forward-looking statements are subject to a number of risks and uncertainties that may cause the actual results of the company to differ materially from those discussed in the forward-looking statements. Certain material assumptions were applied in formulating such forward-looking statements. These assumptions and factors could cause actual results or events to differ materially from current expectations as disclosed in the company’s QA MD&A released May 5th, 2021 under the heading Risks and Uncertainties and under the heading Risk Factors and elsewhere in the Company’s annual information form dated March 3rd, 2021. Any forward-looking statement speaks only as of the date on which it is made and the company disclaims any intent or obligation to update any forward-looking statements. I now would like to turn the call over to Mr. Gabriel De Alba, Chairman of the Board of Frontera Energy. Please go ahead sir.
Gabriel Alba: Thank you, Sylvie. And thank you everyone for joining today’s conference call to review Frontera’s first quarter 2021 operating and financial results. Joining me today in this call are Orlando Cabrales, Frontera’s CEO; Alejandro Pineros Frontera’s CFO; Duncan Nightingale, VP Sales Development, Reservoir Management Reserves and Exploration; and Ivan Arevalo VP of Operations. Management and the Board continued with its solid execution on Frontera’s strategy as a low cost, high cash flow generating Colombian E&P Company having also large scale potential asset in Guyana and value locking opportunities in our infrastructure assets in Puerto Bahia's dry and wet ports and build deal pipeline. Under the leadership of Frontera’s CEO Orlando Cabrales, the company continues to generate free cash flow, has driven down costs, focused on value generating exploration and production, and Frontera also continues to execute upon its NCIB program. I'll now turn the call over to Orlando Cabrales, who will discuss our first quarter 2021 operating and financial results.
Orlando Cabrales: Thank you, Gabriel and good morning, everyone. And I would like to start by saying that since joining the Frontera Board in November 2018 and becoming CEO in mid-March of this year, I have been proud to play a part in the company's evolution into a stronger more competitive returns focused business. Over the past eight weeks, I have had the privilege of working side-by-side with Frontera's leadership, operational and administrative teams whose professionalism and business and operational acronym are truly impressive. Our first quarter results demonstrate our team's continued progress in delivering value focused production and operational efficiency. While I will leave the more detailed discussion of Q1, to Alejandro. I would highlight that we deliver solid first quarter results. Compared to the last quarter of last year, we increased our operational EBITDA by 94% to $69.2 million, increased production per barrel cost by 22%. Increased our operational netback by 114% and delivered production within our guidance range and ended the quarter with a strong cash position of $409 million including restricted cash. I'm pleased with Frontera's continued progress in delivering value focus production and operational efficiency. I am also encouraged by the progress we have made to strengthen relationships with the banking community. We support of our efforts to optimize our balance sheet and efficiently managed cash levels. During and subsequent to the quarter, Frontera made significant progress on a number of strategic fronts. First on March 24th of this year, the Procuraduria General de la Nacion the Attorney General Office of Colombia recommended that the previously announced Conciliation Agreement between Frontera, Cenit and the Bicentenario,we approved. The favourable opinion represents the first of two stages of review from the Conciliation Agreement. If approved by the Administrative Tribunal of Cundinamarca. The second stage of the process will be completed and the parties will be able to complete the settlement arrangement resolving all the disputes between the parties related to the Bicentenario pipeline and the Cano Limon – Covenas Pipeline. Second, I'm excited about the advances we are making to realize our substantial exploration opportunities. On April 21 of this year, Frontera, through its majority owned subsidiary a joint venture with CGX Energy announced that CGX as operator of the Corentyne block offshore Guyana enter into an agreement with Maersk Drilling Holdings Singapore for the provision of a semi-submersible drill drilling unit the Maersk Discoverer and associated services to drill the Kawa-1 well. The joint venture is preparing to drill the offshore Kawa-1 well early in the third quarter of this year. The primary target for the Kawa-1 well is a Santonian age, a stratigraphic trap, interpreted to be analogous to the discoveries immediately to the east on block -- to the east on Block 58 in Suriname. The Kawa-1 well is anticipated to be drilled on a total depth of approximately 6500 meters in a water depth of approximately 3700 meters. In Colombia, through our joint venture partnership with Parex Resources in Colombia, we will execute a two-well exploration program at VIM-1 to continue development of this exciting Greenfield opportunity. And we continue to grow production in the CPE-6 block. And in Ecuador, we are progressing our exploration program in Espejo and Perico blocks with our joint partner -- joint venture partner GeoPark. Finally, we’ve remain focused on delivering value focus production and cash flow from the company's Colombian operations. Frontera's diverse asset base enable us to generate value focus production and cash flow across our portfolio. Following delays in ramping up operational activities to start to the quarter in an effort to protect the company's cash position until clarity on improving oil prices emerged. We currently have five active rigs including two CPE-6, one in La Creciente, one in Quifa and one in Coralillo. And we are in full swing to ramping up our drilling program and value driven investment. I would now like to turn the call over to Alejandro Pineros our CFO who will take you through our 1Q, 2021 financial results.
Alejandro Pineros: Thank you, Orlando. Production during the quarter averaged 40,599 barrels of oil equivalent per day in line with production guidance down to 3% compared to 41,945 barrels of oil equivalent per day in Q4, 2020. The slight decrease in Q1 '21, production compared to Q4 2020 is primarily due to natural declines in some of the company's natural -- some of the company's mature fields and reductions of water disposal volumes at Quifa, partially offset by an increase in production at CPE-6 from a new well drilled on the block. At the end of the first quarter, the company voluntarily and temporarily reduced production at Quifa as it seeks to identify additional water disposal options in the block. The Company anticipates production returning to prior planned levels in the third quarter of 2021. Frontera expects to meet its full-year guidance forecast of 40,500 to 42,500 barrels of oil equivalent per day. The Company recorded a net loss of $14.1 million or $0.14 per share compared with a net income of $48.6 million or $0.50 per share in the prior quarter and a net loss of $387.8 million or $4.04 per share in the first quarter of 2020. The net loss in the current quarter was primarily driven by a loss of $19.8 million on risk management contracts, foreign exchange loss of $18.5 million and a non-cash charge of $9.3 million from legal contingencies that were offset by operating income of $51.5 million due to the improvement in oil prices and higher margins earned on oil and gas sales volumes. Operating EBITDA was $69.2 million up 94% compared with $35.6 million in the prior quarter and $47.0 million in the first quarter of 2020. Cash provided by operating activities was $47.4 million compared with $42.1 million in the prior quarter and $46.5 million in the first quarter of 2020. Capital expenditures were $14.4 million compared with $24.9 million in the prior quarter and $64.7 million in the first quarter of 2020. The decrease in capital expenditures in the first quarter compared to the prior quarter was primarily due to the delays in ramping up operational activities early in the quarter in an effort to protect the company's cash position until clarity on improving oil prices emerged. As of May 4th, 2021, development activity is back to normal levels with five rigs running across Frontera's operations. The company expects this current level of activity and increased capital spending in line with guidance ranges for 2021 to continue through to the end of 2021. Production costs averaged $10.54 per boe in line with guidance. Production costs were down 22% compared with $13.46 per boe in the prior quarter and $12.48 per boe in the first quarter of 2020. Transportation costs averaged $10.89 per boe in line with our guidance. Transportation costs were essentially flat when compared with $10.93 per boe in the prior quarter and down from $12.44 per boe in the first quarter of 2020. Operating netback was $29.13 per boe up 114% compared with $13.59 per boe in the prior quarter and $16.84 per boe in the first quarter of 2020. Under the company's current Normal Course Issuer Bid NCIB program, 262,000 common shares were purchased for $1.3 million for cancellation during the quarter. As of May 3rd, 2021, the company had purchased for cancellation a total of 768,800 shares -- common shares for $2 million with an additional 4.4 -- 4,428,812 common shares available for repurchase under the NCIB. The company's total cash position at March 31st, 2021 worth $409.4 million of which $161.2 million is restricted cash. This compares to $401.2 million cash and $168.9 million restricted cash as at December 31st, 2020. Frontera's restricted cash position decreased by $7.7 million from December 31st, 2020, primarily due to impacts of foreign exchange. During the first quarter of 2021, the company increased credit lines with Bancolombia and Banco BTG Pactual to $39.0 million. These new uncommitted credit lines do not require cash collateral and Frontera expects that these increased limits will enable the company to release additional restricted cash amount in the second quarter of 2021. Now, for a quick update on our hedging position, Frontera uses a combination of Brent oil price linked purchased productions, zero cost collars, put spreads and three-way to protect the company's balance sheet and capital program within hedging limits set by the Board of Directors. Frontera has hedged more than 50% of its production for the remainder of 2021 and details of our hedging program can be found in our Q1 press release. I would like now to turn the call over to Gabriel.
Operator: Please unmute.
Gabriel Alba: Thanks Alejandro. Thank you, Orlando. And again thanks everyone for attending. I think we're now ready to also start our discussion and open the line for questions.
Operator: Thank you. [Operator Instructions] We will pause for just a moment to compile the Q&A roster. [Operator Instructions] And your first question will be from Anish Kapadia at Hannam. Please go ahead.
Anish Kapadia: Hi, thanks for taking my questions. I had a couple of questions around here on if you can help. First of all, could you just explain how the $25 million deed of guarantee will work in Guyana, just talk a bit more around that structure and why that's in place? And my second question is, is more to do with your exposure into the Guyana well, you've got some very significant cost exposure at the moment. Can you explain your thinking about around drilling these wells with your current equity versus potentially farming down to reduce some of the risks? Thank you.
Orlando Cabrales: Let me take that question part of the question and maybe the -- yes, I can now start with that. Well, we consider -- we continue sorry to consider a range of strategic options to progress our exploration program in Guyana. That should maximize and look to maximize the value for our shareholders. In our Guyana exploration guidance as you know for CapEx collars are ranged from the $40 million to $90 million which show you that we are building in the flexibility to accommodate various strategic options to progress the exploration program. So, at this point-in-time Frontera is comfortable with a 33 participation interest on the block. We look forward through a joint venture with CGX to start the Kawa-1 well, here being the third quarter as I already had mentioned in my remarks. We are excited about the Guyana Basin, is a leading offshore oil opportunity that has affected interest from some of the biggest oil and gas companies in the world. We are excited also about the world class perceptivity of our blocks. So, that is what I can say at this point in time. And the guarantee as I mentioned in my remarks, where we are targeting first spot the world in this quarter CGX signed the disagreement with Maersk back in on April 2021. And so, under that arrangement Frontera provided our company a parent company guarantee which covers the operating rates under the CGX Maersk contract. So, that was the rationale of the guarantee. And that, has a sliding scale. So, as we make progress on the execution of the contract, the amount of the guarantee will be reduced in quantity and to a minimum of $10 million. So, I don't know Gabriel if you want to say anything more on that. But that would be my response to your question. Well, thank you for that.
Gabriel Alba: Yes. I will just add to what Orlando has said that that indeed, Frontera and CGX continue to move forward. Doesn't mean that there could be some other potential avenues in the context of strategic opportunity to catch up but at the moment, we're comfortable continue to move forward. And in the context of the warranty, it was well negotiated in its normal course. And as Orlando has said it gets reduced as progress takes place.
Anish Kapadia: And just one quick follow-up on that. You've got the option for second well on the Demerara block. And what's going to be the deciding factors to whether you go ahead with that second well, is it whether you can get some extra funding in from a third-party to drill it or is it to do with success in the first well, just to try and understand what would kind of what are the decision points that you have in terms of drilling that second well?
Gabriel Alba: Orlando if you want, I can start with the answer.
Orlando Cabrales: Yes, sure.
Gabriel Alba: I mean, we have not depended on third-party to conduct any of the current ongoing steps on exploration but both of the blocks the Corentyne or Demerara. So, we don't depend on third-parties to execute on those blocks. Technically, the team has been very excited about what the analysis is delivering but I think it's difficult to speculate what would I mean what would be the further steps. But from Frontera side it has probably been disclosed. It's prepared to continue to move on it on a standalone basis.
Anish Kapadia: Great. Thanks very much.
Operator: Thank you. [Operator Instructions] There are no other questions registered at this time. So, should you have any further questions, please email ir@fronteraenergy.ca. This concludes the call. Thank you all for participating. You may now disconnect your lines.